Haruyasu Yamada: Good evening. This is Haru Yamada, and I would like to welcome you to ORIX conference call to review our third quarter consolidated results for the period ended December 31, 2013. I'm joined here this evening by Mr. Haruyuki Urata, Deputy President and CFO; as well as Mr. Shintaro Agata, Corporate Executive Vice President and Head of the Treasury Headquarters; and Mr. Takao Kato, Corporate Senior Vice President and Head of the Accounting Headquarters. 
 During this evening's call, Mr. Urata will discuss the third quarter results, and then we will open up the lines for Q&A.
 I presume that everyone has in front of them the presentation materials that were posted on the IR section of the website this afternoon here in Tokyo. The following live broadcast is copyright to ORIX. Statements made today may contain forward-looking information. While this information reflects management's current expectations or beliefs, you should not place undue reliance on such statements as our future results and business activities may be affected by a wide variety of factors that are out of our control. 
 You should read the forward-looking disclaimer in our earnings presentation as it contains additional important disclosures on this topic. You should also consult our reports filed with the SEC for any additional information, including risk factors specific to our business. 
 Also, please note that net income used in this presentation is the same as net income attributable to ORIX Corporation shareholders, referred to in the financial statements, consolidated financial results, April 1 to December 31, 2013. 
 And without further ado, I will turn the call over to Mr. Urata. 
Haruyuki Urata: Thank you, everyone. Hello, everyone, and thank you very much for your participating in today's conference call announcing ORIX's results for the third comparative period of the fiscal year ending March 31, 2014. My name is Urata, CFO of ORIX. 
 Please turn to Slide 1, where I'd like to start with an overview. Our consolidated third period net income was JPY 118.2 billion or 31% increase compared to net income for the same period over the previous fiscal year of JPY 19.1 billion. ROE was 9% on an annualized basis. We only announced our first half results at the end of October. We revised our full year target upward to JPY 145 billion. We have achieved 82% of the JPY 145 billion at the end of the third quarter. 
 Please note that valuation gain or loss that may be recognized in accordance with the conversion of Daikyo's preferred shares have not been determined at the moment. We would make a separate announcement if there will be a significant impact on our results. 
 The external environment is fertile and [indiscernible] opportunities for ORIX expanding even further. We are in the midst of discussions concerning next fiscal year budgets, and with Mr. Inoue, who is our appointed co-CEO on January 1, as our leader, we are proceeding with discussions with a strong desire to maintain high growth by launching a new class of business that will lead to the near to long-term growth of the ORIX Group. 
 Please turn to Slide 2. Trending segment profits are shown on this slide. The bar chart shows the results for the third consolidated period this year compared with those of the past 2 years. Segment profits increased 32 -- JPY 36.2 billion compared to the same period of the previous fiscal year, driven by the Overseas Business segment and the Real Estate segment. 
 In addition, Retail segment and Maintenance Leasing segment also increased segment profits compared to the same period of the previous fiscal year. The Investment and Operation segment also continued to record high-level profits despite reduced profits compared with the same period of the previous fiscal year when we recognized large gains on the sale of shares. 
 Please turn to Slide 3. Next, I would like to explain trends in segment assets. Total segment assets increased approximately JPY 650 billion compared to the end of the previous fiscal year to surpass JPY 7 trillion. In particular, there has been a large increase in assets in the Overseas Business segment due to the conservation of Robeco and also in the Retail segment. 
 On the other hand, asset balance of the Real Estate segment reached approximately JPY 1 trillion as a result of a continued asset turnover. The properties of the Real Estate assets, out of the total segment assets, decreased to 14%. The line graph showing segment assets ROA has further improved to 2.3% on an annualized basis. 
 Please turn to Slide 4. From here on, I'd like to explain the third quarter results and related topics for each segment individually. I'd like to start with the Corporate Financial Services. In the third quarter, we transferred the management of our ICD Business Department, whose main customers are primarily media and telecommunications carriers, from the Maintenance Leasing segment. The figures for previous periods have been reclassified accordingly. 
 At the end of the fiscal year ended March 2013, ICT business development assets were JPY 50 billion. Segment profits fell 6% to JPY 18 billion year-on-year. Base profits are below the level of the same period over the previous fiscal year, primarily due to a decrease in installment loan revenues. Segment assets increased JPY 11.3 billion to JPY 954.6 billion compared to the end of the previous fiscal year. Also, annualized ROA was 1.6%. 
 As for our topic, we are adding solar power generation. We are concentrating not only on solar panel sales but related to finance. Generally, the spread for good companies is low, and it is difficult to provide credit to extend you for a period of 20 years. However, by securing overall profitability of the transaction, either by providing a one-stop service from panel purchases to arranging the construction and management companies or by creating a framework or adapting certain specs that would allow for ORIX to focal the [ph] properties in cases necessary. We have been able to create transactions that meet these return objectives. 
 Please turn to Slide 5. In the Maintenance Leasing segment, base profits increased to 17% year-on-year, in line with the increase in segment assets. Segment profits also increased to -- 17% to JPY 30.3 billion. Segment assets increased to JPY 46.9 billion compared with the end of the previous fiscal year and to JPY 27.1 billion compared with the end of the first half due to an increase in new transactions for automobile. 
 ROA was 4.3%. We are achieving asset growth while maintaining a high level of ROA, [indiscernible] with strengthening the peripheral services surrounding its rental business. Also, car sharing business targets a new service of large-scale shared housing. 
 Please turn to Slide 6. This is our Real Estate segment. Segment assets continued to decrease during the third quarter to JPY 1,008,000,000,000. Base profits increased 10% year-on-year as fee revenues and the facilities' operation continued to be robust in the third quarter after a solid first half. Total provisions and the impairments were JPY 22.2 billion, a decrease of JPY 3 billion year-on-year. Capital gains were JPY 17 billion, an increase of JPY 6.8 billion year-on-year. 
 As a result, segment profits were JPY 15.7 billion, exceeding JPY 4.2 billion during the same period of the previous fiscal year by JPY 11.5 billion.  
 As for other topics, we are opening a commercial facility on the main street of Ginza this autumn. This project is a joint investment with overseas investors. We have also invested in 2 other projects through a joint investment, including investment in the Sheraton Hotel located in Maihama during the fiscal year. 
 Please turn to the next page. Moving on to Investment and Operation. Due to gains on the sale of Aozora Bank shares recorded in the third quarter of previous fiscal year, segment profits decreased 9% year-on-year to JPY 29.9 billion. However, excluding the Aozora-related gains, profits increased by 40%. The reason for this increase includes contribution from collection revenues in the loan servicing business and gains on sale of the new [indiscernible] this year, which continue to contribute to profit in the third quarter on top of the first half. 
 In addition, profits from private equity investments have also been steadily increasing. Segment assets remained flat compared with the end of the previous fiscal year while we continue to turn off assets. 
 Recent topics include the announcement regarding the establishment of a joint venture with the Toshiba, which will proceed to build a 2-megawatt-scale geothermal power station at Okuhida hot spring resort in Gifu Prefecture. Further, as we announced on January 17 this year, we have decided to combine all the preferred shares, ORIX [indiscernible] and Daikyo [indiscernible] type 1 to common shares. Our equity share will increase from 31.7% to 64.1%. 
 Daikyo is making steady progress with internal report, and we believe that it can accelerate this movement even further. We expect profit continuation from Daikyo in the long run, although it may cause fluctuation ORIX's profits if valuation gain or loss is recognized. As valuation gain or loss is dependent upon the share price at the time of convergence, we will make separate announcement if we feel we will have the significant impact on our results. 
 Please turn to the Slide 8. Retail segments profits increased 18% year-on-year to JPY 39.6 billion. Base profits increased 22% year-on-year. Insurance-related investment income was strong in the first half of the year, and the assets of both ORIX Bank and ORIX Life Insurance continued to grow, driving increase in profits. Segment assets reached JPY 2,096,900,000,000. Asset growth is strong, with assets increasing almost JPY 100 billion compared to the end of the previous fiscal year. Also, ROA increased to 1.6%. 
 Regarding topics, in December, the number of ORIX Life Insurance individual life insurance policies in force exceeded 2 million. We first launched the product, CURE, in 2006. In September 2010, we reached 1 million policies in force. In 3 years and 3 months, we have succeeded in doubling this figure. In addition, we have already had 100,000 applications for New CURE, which went on sale in September. 
 Please turn to Slide 9. Finally, we come to the Overseas Business segment. Segment profits increased 53% year-on-year to JPY 52.4 billion, an increase of JPY 18.1 billion, which rivals the previous fiscal year's full year figure. Robeco made a JPY 5.9 billion contribution to profits in the third quarter as there were onetime expenses associated with its acquisition in the previous quarter. 
 Combining this with the profit contribution made in the second quarter, Robeco is responsible for JPY 7.3 billion increase in profits. Information regarding Robeco's AUM can be found on Slide 25 of the presentation materials. Base profits increased 83% year-on-year, and even without Robeco, base profits increased by nearly 40%, [indiscernible] in the solid performance by the U.S. and Asian operations. The nonperforming ratio [ph] and provisions of our Asia and local subsidiaries continued to remain low level. 
 There were no large gains on sale in the third quarter, but total capital gains remained higher than those of the same period of the previous fiscal year. Segment assets have shown a large increase of JPY 610 billion compared with the end of the previous fiscal year. 
 Among the reason for the increase are around 60% are due to Robeco, approximately JPY 120 billion is due to currency exchange and approximately JPY 100 billion is due to STX Energy, which was temporarily consolidated. 
 On a regional basis, excluding the currency exchange impact, assets in Asia, excluding STX, are growing while assets in the U.S. are decreasing. Also, ROA was 2.7%. 
 Topics include our decision to invest in the largest Cambodian bank, ACLEDA. This is the first time for ORIX to enter Cambodia. ACLEDA's strength is microfinance and SME financing. And although it is only a minority stake, we believe that we have gained a valuable entry ticket to the Cambodian market. 
 Please turn to Slide 10. Finally, I would like to introduce the progress of our strategies. The slide shows the main new investment we have made this year. On the left-hand side, under the theme of acceleration of finance plus services, there is ORIX's largest acquisition, Robeco; joint real estate investment with overseas investors; and aircraft leasing. We will return to [indiscernible] while making JPY 76 billion in sales by third quarter. We will also engage in new transactions in the form of joint investment was [ph] a total of approximately JPY 80 billion. Including preexisting transactions, the total amount of joint investment projects have increased to almost JPY 200 billion. 
 In the center, under the theme of debt to equity, we have gained entry tickets into markets in Saudi Arabia, Cambodia and Mongolia, which are emerging nations where economic growth is expected in the future. 
 On the right-hand side, under the theme of -- on to operations, we are devoting our efforts to operations, including environment- and energy-related businesses covering the mega-solar project. Although only the preventing our activities up until the end of the final quarter, we believe that we have made fine progress making investments, which I believe with our policy direction so far of accelerating finance plus services and shifting from debt to equity and on to operations. 
 Please turn to Slide 11. I would like to conclude this presentation with a summary. Net income for the third consolidated period increased 31% to JPY 118.2 billion year-on-year. Annualized ROE was 9%. In order to stably produce 10% ROE, we intend to continue our basic policy of always actively but carefully taking good risk in our investments and also increasing flexibility by enhancing the content of our best businesses. 
 In the past year, we are seeing a significant upturn in the business environment [indiscernible] Japanese companies thanks to events, including the selection of Tokyo to host the 2020 Summer Olympics and a better mix. 
 As the wind is blowing in ORIX's direction, I believe that now is the time for ORIX to embark on establishing new pillars of business that will lead to mid- to long-term growth while maintaining high growth. 
 This concludes my presentation. Thank you very much for your attention. 
Operator: [Operator Instructions] Our first question today came from Mr. Rajesh Chaudhary from Odey Asset management. 
Rajesh Chaudhary: This is Raj Chaudhary from Odey Asset Management. I wanted to ask, the last time we -- you mentioned that you were looking to reduce your exposure in real estate and benefit from the price gains that we have seen, this seems like a sensible strategy, but it also means that you will be further deleveraging as a business. How long should we expect that to continue before asset growth and other areas increases the leverage ratio? 
Haruyuki Urata: First of all, as a whole, you see that we are currently the -- property on the increase of the size of the total assets or total operating assets in various areas. Especially, for the last couple of quarters, our Overseas Business have shown the key driver for the expansion of our total operating assets. And -- but regarding the real estate business activity as it's shown in Tokyo, we believe that this is a bigger timing for us to sell the investing portfolio to the market because of the very hot market right now. And -- but at the same time, of course, in the Real Estate businesses, we have been continuously focusing on these business areas as one key area for our future growth. So as I said, as the presentation -- there in the presentation, at the same time, we have already made various new investments together with the overseas investors in some areas. We believe that we can show the -- some differentiations compared with other players. And so again, that in the total, we are trying to increase our leverage right now. And we -- although we have increased our shareholders' equity dramatically recently, but at the same time, we have increased the total operating assets. Therefore, our debt-to-equity ratio has been maintained at that same level, not delevering right now. And going forward, we want to continue to focus on the new business challenges in various areas including the new [indiscernible] types of the acquisition. So in the Real Estate segment, again, we want to continue to decrease our investing portfolio. But furthermore, in other areas, including overseas or in Japan, for the leasing or our long businesses or Retail businesses or mainly the -- much more focused on the new environment or new energy business activities further. Based on that, we believe that we can continue to show you the -- increase our leveling. 
Rajesh Chaudhary: Because at the moment, say, compared to the first quarter, you have continued to improve the ROA. But the buildup in equity means that the return on equity has come down slightly. Is that something that the board talks about? 
Haruyuki Urata: Yes. I'm pleased -- if you could not so much focus on the quarterly basis result. Of course, on a quarterly basis, you can see the -- some success on the ROE. But basically, the -- we want to continue to show the improvement of ROE based on the improved ROA there with the same level or as a -- or higher leverage. 
Rajesh Chaudhary: Okay. And I think you mentioned the -- on the Overseas Business in Asia, asset quality has remained okay. So the tighter credit standards that you have put in place are working for the moment? There's no deterioration in emerging markets? 
Haruyuki Urata: First of all, of course, for a very-short-term view right now, we are very much closely the -- seeing, watching the change of the markets and change on the -- as there as our asset quality, portfolios. First of all, regarding the -- our leasing asset in -- mainly in the Asia [indiscernible], we believe that we can continue to try to expand leasing activities going forward even under the current situations because leasing assets have been very much widely diversified and spread out various clients. And of course, in the various operations, we have to be very careful. For example, this area should be negatively impacted by the current change or the market situations and some [ph]. But as a whole, we believe that we can challenge expansion of our leasing businesses. Of course, in the year, with the new private to equity types of the investment in the various areas, including a flattening investment, recently, the -- and you know that in terms of the pricing, that has been relatively the -- expensive from ROI level. But after the current situation of the market in the world, especially in the emerging markets, we believe that there's going to be the business -- investment opportunities here because of the lower level of the pricing level. So for the time being, for private equity terms of the investment or strategy investment, just for -- we continue to look for the opportunities. But maybe we should much more focus on the U.S.A. areas rather than the Asian or emerging markets. And in a certain period later, we want to end -- try to conclude our current due diligence [ph] in the emerging market areas. 
Operator: [Operator Instructions] Mr. Yamada, there are no further question today. So at this time, I want to turn the conference back over to you for any additional or closing remarks. 
Haruyasu Yamada: Thank you. If there are no further questions, I would like to take this opportunity to thank you for participating in tonight's conference call. If you have any questions or comments, please do not hesitate to get in touch with us using the contact information found on the last page of this evening's presentation materials. Also, a replay of this conference call will be available shortly on the ORIX IR website if you joined partway through and would like to relisten to certain sections. 
 On behalf of the management and the entire ORIX group, thank you for your participation. I hope that we have the chance to meet, whether it is in your corner of the world or here in Tokyo. Thank you. 
Haruyuki Urata: Thank you.